Operator: Welcome to the Eltek Ltd. Second Quarter 2015 Financial Results conference call. All participants are at present in a listen-only mode. Following management’s formal presentation, instructions will be given for the question and answer session. For operator assistance during the conference, please press star, zero. As a reminder, this conference is being recorded. Before I turn the call over to Mr. Yitzhak Nissan, Chairman of the Board and Chief Executive Officer; Roberto Tulman, Deputy CEO and Chief Technology Officer, and Amnon Shemer, Chief Financial Officer, I would like to remind participants that comments made during this conference call may contain projections or other forward-looking statements regarding future events or the future financial performance of Eltek Limited. These statements are only projections and reflect the current beliefs and expectations of the company. Actual events or results may differ materially. With that said, it is routine for internal projections and expectations to change as quarters progress. All forward-looking statements are based on information available to the company on the date hereof, and the company assumes no obligation to update such statements. Please refer to the documents the company files from time to time with the SEC, specifically the company’s annual report on Form 20-F, its periodic reports on Form 6-K, and the Safe Harbor language contained in the company’s press releases. These documents contain and identify important factors that could cause the company’s actual results to differ materially from those contained in its projections or forward-looking statements, which the company urges all investors to consider. Eltek undertakes no obligation to publicly release their revisions to such forward-looking statements that may be made to reflect the events or circumstances after the date hereof or to reflect the occurrence of unanticipated events. I will now turn the call over to Mr. Amnon Shemer. Mr. Shemer, please go ahead,
Amnon Shemer: Good morning. Thank for joining us and welcome to Eltek’s 2015 second quarter earnings call. Presenting on today’s call will be Yitzhak Nissan, Chairman of the Board of Directors and Chief Executive Officer; Robert Tulman, Deputy CEO and Chief Technology Officer, and myself. By now, everyone should have access to our second quarter press release which was released earlier today. If you have not received the release, it is available on our website at www.nisteceltek.com. Our call today will begin with my presentation of Eltek’s financial results followed by an overview of our business and a summary of the principal factors that affected our results by our Chairman and CEO, Mr. Yitzhak Nissan. During this conference call, we will be discussing non-GAAP financial results such as EBITDA. Eltek uses EBITDA as a non-GAAP financial performance measure. Please see our earnings release for our definition of and the reasons for its use. Revenues for the quarter ended June 30, 2015 were $10.4 million compared to revenues of $12 million in the second quarter of 2014. Gross profit for the second quarter of 2015 was $1.9 million or 18.3% of revenues compared to gross profit of $1.7 million or 13.9% of revenues in the second quarter of 2014. Operating profit for the second quarter of 2015 was $543,000 compared to an operating loss of $65,000 in the second quarter of 2014. Net profit for the second quarter of 2015 was $424,000 or $0.04 per share compared to a net loss of $125,000 or $0.01 per share in the second quarter of 2014. EBITDA - in the second quarter of 2015, Eltek had EBITDA of $1 million compared to EBITDA of $480,000 in the second quarter of 2014. I will now turn the call over to Yizhak Nissan for his overview of our business and the key factors that affected our results. Yitzhak?
Yitzhak Nissan: Thank you, Amnon. Our revenues in the second quarter increased by $650,000, which is 6.7% over the first quarter of 2015. This increase of revenues combined with efficiency measures that we have implemented enabled us to report a net profit of 4.1% of total sales despite the decline in our revenues as compared to the second quarter of last year. Our local market is improving and the demand from U.S. and the Canadian markets is going well. We are concentrating on delivering high technology boards as expected by our customers. I believe that the ongoing combined efforts of our outstanding employees and management will open up a new horizon for Eltek. We are now ready to take your questions.
Operator: [Operator instructions] The first question is from Marty Elbaum of Horizon Networks. Please go ahead.
Marty Elbaum: Yes, good morning. Congratulations, Yitzhak and your team. Very excited to see the company has turned around. Can you give us some color for the remaining quarters of the year? I can see the turnaround, but we’d like to have a better idea of where we’re going from here.
Yitzhak Nissan: Thank you for the congratulations. As you know, the policy of the company is not to give any information about the future, even though I’m very optimistic for the future.
Marty Elbaum: Thank you very much.
Operator: If there are any additional questions, please press star, one. If you wish to cancel your request, please press star, two. Please stand by while we poll for more questions. There are no further questions at this time. Before I ask Mr. Nissan to go ahead with his closing statement, I would like to remind the participants that a replay of this call will be available tomorrow on Eltek’s website, www.nisteceltek.com. Mr. Nissan, would you like to make your concluding statement?
Yitzhak Nissan: Yes, thank you all for your participation and your interest in Eltek. We hope to see you all in our future events. Thank you very much and good morning.
Operator: This concludes the Eltek Ltd. second quarter 2015 financial results conference call. Thank you for your participation. You may go ahead and disconnect.